Operator: Ladies and gentlemen, thank you for standing by and welcome to the eBay First Quarter 2020 Earnings Conference Call. At this time, all lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, John Billante, Vice President of Investor Relations. Sir, the floor is yours.
Joe Billante: Thank you, good afternoon. Thank you for joining us and welcome to eBay's earnings release conference call for the first quarter of 2020. Joining me today on the call are Scott Schenkel; Andy Cring; and our new CEO, Jamie Iannone. We're providing a slide presentation to accompany Andy's commentary during the call, which is available through the Investor Relations section of the eBay website at investors.ebayinc.com. Before we begin, I'd like to remind you that during the course of this conference call, we will discuss some non-GAAP measures related to our performance. You can find the reconciliation of these measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. With the February completion of the sale of StubHub, all figures in this presentation are for the remaining company, inclusive of Marketplace and Classifieds only. StubHub results are presented as discontinued operations. Please refer to our recent 8-K filing with adjusted prior periods. Additionally, all revenue and GMV growth rates mentioned in Scott and Andy's remarks represent FX-neutral year-over-year comparisons, unless they indicate otherwise. In this conference call, management will make forward-looking statements including without limitation, statements regarding our future performance and expected financial results. These forward-looking statements involve known and unknown risks and uncertainties and our actual results may differ materially from our forecast for a variety of reasons. You can find more information about risks, uncertainties, and other factors that could affect our operating results in our most recent periodic reports on Form 10-K and Form 10-Q and our earnings release from earlier today. You should not rely on any forward-looking statements. All information in this presentation is as of April 29, 2020 and we do not intend and undertake no duty to update this information. Lastly, I'd like to share today's agenda. As you know, the Board recently announced the appointment of Jamie Iannone as our new CEO. Given that he officially started the role two days ago, Jamie will obviously not be fully participating in this quarter's earnings call, but he will make a few introductory remarks before we begin. Following that, Scott will provide a business update and Andy will provide a financial update. At the end, we will open Q&A where Scott and Andy will be available to answer your questions. With that, let me turn it over to Jamie.
Jamie Iannone: Thank you, Joe and good afternoon everyone. I'm thrilled and honored to be with you today. I look forward to speaking directly with all of you over the coming months as I settle into my new role at eBay, but for today, I will keep my comments brief. As some of you know, eBay is where I spent the most time in my career and I'm really excited to re-join the company. eBay's remarkable success story with amazing assets, robust organic traffic, and long-standing customer relationships around the globe, I truly believe the company has tremendous opportunities to capitalize on this foundation, innovate for the future, and grow its ecosystem. These are some of the reasons why I was so compelled to return to eBay and play a leading role in shaping the company's path forward. I look forward to working with our global teams to enhance buyer experiences and provide more capabilities that will help small businesses sustain and grow. I will focus on continuing to evolve the company's strategy while delivering on eBay's commitment to maximize long-term shareholder value. Before I close, I'd like to acknowledge and thank Scott for his leadership over the last several months. Scott has led and implemented huge changes in the business all while guiding the company through one of the biggest crisis our society has ever faced. Thank you, Scott. Thank you, Andy and the entire leadership team for your assistance and guidance as we work towards a smooth transition. I'd like to turn the call over to Scott to begin the earnings update and I look forward to speaking with you again 90 days from now. Scott?
Scott Schenkel: Thanks, Jamie. Good afternoon everyone. We had a strong start to the year ahead of our expectations. Our volume is accelerating, managed payments and ads are delivering growth and are on track for long-term success. We are executing our product road map, improving buyer and seller experience and conversion, and we are driving margin expansion. We closed the StubHub deal in February, quickly deployed proceeds to reward shareholders, made progress on the Classifieds portfolio, and strengthened our balance sheet. While executing on our Q1 priorities, COVID-19 dramatically changed the world. Individuals and families are sheltering in place, millions of people have lost their jobs, and communities are struggling. Our purpose has always been to empower people and create economic opportunity for all. We are fortunate to have a resilient business that can help in times like these. That purpose and resiliency have inspired us to deploy well over $100 million to support our employees, communities, customers around the world at a time when they need it most, positioning our stakeholders to exit this crisis stronger. The health and safety of our employees and their communities is our top priority and I want to thank our team for their remarkable dedication during this difficult time. In line with government guidelines, we shifted the vast majority of our team to work from home, many for the first time, including thousands of customer service team members around the world. We provided them with equipment, training, and resources to support their transition. We also financially protected our hourly and alternative workforces, ensuring they get paid while society is asking them to do their part. We have also empowered our leaders to provide employees flexibility to balance health, well being, family, and professional responsibilities. We are also investing millions of dollars into our communities. Through eBay for Charity, we are matching contributions made by U.S. customers to Feeding America, Direct Relief and the Opportunity Fund. In the U.S. buyers can also purchase gifts that give back to support relief efforts and in the U.K. buyers can donate at checkout to support NHS Charities Together. Through the eBay Foundation, we have funded several non-profit organizations supporting small businesses and community relief efforts around the world, including Silicon Valley Strong in our home city of San Jose. During this crisis, the eBay Marketplace has remained open for everyone, granting buyers access to a wide selection of global inventory and aggregating growing demand for sellers. For hundreds of thousands of small businesses worldwide, we offered to defer fees, provided store subscribers with more free listings, and protected seller performance standards. We are also supporting small brick and mortar retailers by offering free listings and free store subscriptions for first time sellers along with mentors to help get them started. Thousands of new sellers have signed up across our global markets further expanding the strength of our supply. In addition to investing in small businesses, we are partnering with government officials on a local, state, national, and international level to prevent price gouging, stop false health claims, and prevent illegal products from being sold. To ensure that our platform remains safe and trusted, we have blocked or removed more than 15 million listings to date from our global Marketplace that violate COVID-19 policies. We are also advocating on behalf of small businesses with legislators through a grassroots advocacy program to ensure they benefit from important economic relief decisions and programs. In our Classifieds Motors verticals, many dealers were forced to close their business temporarily and we provided them with immediate help by waiving fees and extending payment terms. We also added new ways in our experience for customers to connect directly with dealers to drive leads. On our horizontal Classifieds platforms, we rapidly adapted our product experiences by educating users how to trade safely and by launching a neighborhood assistance category that connects customers confined to their home to those who want to help. These efforts have improved vibrancy while protecting our supply and demand in the near-term. While some of these actions impacted Q1 and create short-term financial headwinds, our Classifieds platforms are positioned to exit stronger when businesses reopen as we are starting to see in Germany. While supporting our customers and employees, we over-delivered for our shareholders on our Q1 commitments. Before the dynamics surrounding COVID-19 started impacting our business in late Q1, our key metrics were performing better than our expectations through the first 11 weeks. The roll out of new and expanded experiences for buyers and sellers along with the acceleration in managed payments and ads were driving improvement in GMV and revenue despite the continued headwinds from Internet sales tax and reductions in marketing spend that skewed towards the U.S. Since then, COVID-19 impacted our major markets as shelter-in-place actions were required and we saw an immediate change in the growth trajectory. In Marketplace, there was an initial surge in home confinement categories in late March, which then expanded in April across all verticals including parts and accessories, fashion and more. Since the start of April, GMV has been growing over 20% in our major on-platform markets every week. Andy will go into further detail about recent trends in his remarks. In total for Q1, volume was flat compared to a year ago, a 4 point improvement versus Q4 with U.S. volume 5 points better and international volume 4 points better. Organic revenue was up 2%, above the high-end of our guidance. Margins were strong at 31.5% driven by operational cost savings that helped fund managed payments as well as incremental investments and expenses related to COVID-19. Non-GAAP EPS was $0.77, up 19%, substantially better than expected. In addition, we closed the StubHub deal in February, expanded our 2020 share buyback plan to $4.5 billion, paid our dividend as planned, and strengthened our capital structure. Independent of COVID-19 effects, we made progress on our key priorities in the first quarter. Our underlying operating plans remain the same as we communicated in January, which were to deliver our growth initiatives of managed payments and ads, provide more seller tools, improve buyer experiences, and leverage our structured data foundation while delivering margin expansion. Our growth initiatives continue to stay on track and are making meaningful contributions to our results, a testimony to our employees and partners working from home around the world and to our leadership team's tenacity. The managed payments transition continues to gain momentum. Buyers are getting more choice and a seamless checkout while sellers are saving money on a simpler experience that offers quick and flexible ways to get paid. Since launch, we have processed more than $3 billion of GMV for over 32,000 sellers on our payment rails while saving them millions in fees. U.S. volume remains at the limit permitted under the operating agreement, while in Germany we ramped from 3% in December to 6% in March on our way to 10% by mid-year. We recently announced to sellers in the U.K., Australia, and Canada that their transitions will begin in July. Many are already pre-registered and we encourage sellers to visit our Seller Center for more information on how we can accelerate their ability to save money and simplify their eBay experience. We are confident in our plan to transition the vast majority of sellers starting in July through the end of 2021 as managed payments will become the only way to buy and sell on eBay. We remain on track to realizing an incremental $2 billion in revenue and $0.5 billion of operating income in 2022. As a reminder, these economics do not include any benefits from improved experience or reduced friction for buyers and sellers. Advertising continues to drive revenue growth and had a strong start to the year. In Q1, Promoted Listings delivered $137 million of revenue, up 111%. Nearly 1.2 million sellers promoted more than 310 million listings in the quarter. Sellers continue to adopt Promoted Listings to drive conversion while buyers are seeing a better eBay experience with fewer third-party ads. Although third-party ad revenue continues to decline, our overall advertising revenues grew more than 25% for the quarter. In Q1, we raised performance standards for all sellers which modestly reduced the number of Promoted Listings, but yielded improved conversion. We remain on track with our plan to deliver $800 million in total ad revenue this year on our way to building $1 billion advertising business in the next couple of years. In our on-platform marketplace business, we continue to invest and expand in seller tools and capabilities. Seller initiated offers allow a seller to offer lower prices to individual buyers to drive conversion. In Q1, this scaled to over 1.5 million offers per day, driven by increased adoption in item eligibility. We also rolled out an image quality tool, which is helping sellers improve photos on their listings. The majority of the sellers that have used the tool have enhanced their images contributing to a more consistent looking buyer experience. We expect this to lead to better conversion over time. Multi-user authentication capabilities are helping small business teams manage their business securely and these features have extended globally and integrated with order management and price guidance tools. On the buyer experience, we saw an increased conversion through improvements in search that were enabled by growth in structured data. Based on behavioral data, our algorithms recommend to sellers which information can maximize the velocity of their listings as sellers add more structured data in the form of aspects, their listings are increasingly showing up in filtered search results. This leads to higher conversion as buyers are more likely to discover and purchase their items. We also raised the limit of saved searches for hundreds of thousands of highly engaged loyal buyers who reached the previous cap of 100 searches, allowing them to expand their shopping on eBay. Millions of buyers are tracking their shipments on our platform and we are sending notifications to alert them of early or late deliveries. Our overall delivery performance has held up well during the COVID-19 crisis as our supply base does not have large single points of failure nor are their fulfillment constraints for essential or non-essential items on eBay. With the disruption to exports from China during the quarter, our speed pack efforts combined with our existing domestic sellers supply allowed for strong inventory availability and delivery performance. While executing these and other improvements for buyers and sellers in our product experiences, we also delivered on margin expansion. We realized efficiencies in our marketing spend and reduced operating costs in a number of areas. The cost to scale managed payments are in line with our expectations and we remain on track to deliver at least 2 points of incremental margin by 2022. In Q1, our international on and off platform businesses had similar volume dynamics. In Korea, our underlying volume growth rate was consistent with Q4, but total volume accelerated modestly from upside in essential categories due to COVID-19. Revenues grew at double-digit rate due to the ongoing expansion of our first-party inventory program. Despite significant marketing by competitors that is likely deeply negative ROI, we have a leading position in Korea with double-digit growth, first-party FMCG capabilities, and significant scale. Margin dynamics are well above most peers in the market although margin contribution is significantly less than our on-platform markets in the rest of the world due to marketing spend differences and the first-party sales mix. Aside from ongoing business results, I would like to take a step back from recent performance to address the ongoing portfolio review of our Classifieds business. As we previously stated, we are in active discussions with multiple parties exploring value creating alternatives. We remain committed to maximizing value for shareholders and will provide an update by our Q2 earnings call in the middle of the year. Despite the short-term disruption to the industry presented by COVID-19, the long-term prospects for Classifieds are strong. We believe that the recovery period will create more growth opportunities for our platform. As a frame of reference, following the '08, '09 financial crisis, used car sales outpaced new car sales for several years and the shift from offline to online advertising accelerated. Those two macro dynamics provided tailwinds and rewarded players with strong demand and supply and we believe our Motors verticals and ad-based horizontal platforms are well positioned to perform strongly in that environment. Over the past several months, we have driven significant changes to position the business for sustainable and profitable long-term growth. Underlying volume is improving and consumer demand during shelter-in-place has surged. We've approached this pandemic striving to support our employees, communities, and customers and exit this global crisis stronger. We continue executing on our growth initiatives, delivering product experience improvements, improving margins, and over-delivering on our financial commitments. Looking ahead, with a distributed and scalable seller base, a strong balance sheet and cash flows, low capital intensity, and disciplined management, we have the strength and flexibility to adapt to this economic environment. Personally, I'm grateful for the opportunity to lead this team and business over the past several months, not to mention my time as CFO in the eight years before that. I remain excited for eBay's future prospects and look forward to my next chapter. Now let me turn it over to Andy to provide more details on our financial performance. Mr. Cring?
Andy Cring: Thanks, Scott. Before we dive into financial highlights and the earnings presentation, I will begin my prepared remarks with a few comments on the impacts we are seeing related to COVID-19. These are unprecedented times and we are working hard to support our employees who in turn are working at home around the world to support our communities, customers, and shareholders. We believe our culture shines in these moments and our robust business model and strong balance sheet and cash flow provide the backstop that enables us to withstand these disruptions and directly support all of our stakeholders. In Q1, before we felt the full global impact of COVID-19, our underlying business performance was better than our expectations. Through mid-March, volume was accelerating compared to Q4 and we were tracking above the high-end of our revenue and earnings guidance range. Late in March, our segments began to see a more pronounced impact of the global pandemic. Our marketplace volume further accelerated as our sellers stepped up to serve the increasing needs of buyers around the world. However, in Classifieds, advertising came under significant pressure. Overall, while the revenue impact of COVID-19 in Q1 was relatively muted at the Inc. level, we did experience roughly 2 points of margin pressure driven in part by implementing programs to support our customers. In April, we have seen a surge in buyer demand resulting in double-digit Marketplace volume growth while Classifieds revenue has further decelerated based on continued advertising pressure coupled with the actions we've taken to support our Motors dealers. More specifically, here is a little more color on how the progressive impact of COVID-19 has been felt by our customers, how we've responded, and how that shows up in our results. First, as stay-at-home mandates rolled out across geographies, advertisers began pulling spend, negatively impacting third-party advertising revenue in both Classifieds and Marketplace. Second, as automotive dealers around the world were forced to close their doors to comply with local stay-at-home mandates, we acted quickly to protect our customers by eliminating subscription fees while these dealers are closed. Third, we took several additional steps across both segments to assist customers in this critical time. Some of these actions such as extending payment terms resulted in adjustments to bad debt and other reserves that are having a short-term impact on operating margins across our business. Fourth, in the last two weeks of March, we saw even more volume acceleration in Marketplace as buyers, traffic, conversion, sold items, GMV, and revenue growth all improved. In March and the first part of April, the strength was driven by confinement categories as buyers were focused on products for home offices, gym equipment, and indoor leisure activities like video games and consoles. More recently, we've seen a lift in other categories such as parts and accessories and fashion as buyers started expanding their online shopping. The growth has been broad-based and global in nature. In summary, thus far in Q2, Marketplace growth has significantly accelerated compared with Q1 with Classifieds seeing near-term pressure. The net impact of this is favorable in total. While some of the actions we've taken put short-term pressure on our financial performance, it's clear that taking care of our sellers who need some extra help during this time is the right thing to do for them and will make us an even stronger company over the longer-term. You can see examples of our actions that we've taken for our stakeholders on Slide 3 of the earnings presentation. In this rapidly changing environment, it's unclear how long these dynamics will last. I'll discuss how they influence our outlook for Q2 and the rest of the year in our guidance section. Turning to Slide 5, in Q1, we delivered revenue of $2.4 billion, up 2% on an organic FX-neutral basis, above the high-end of our guide. Non-GAAP EPS was $0.77, up 19%. Non-GAAP margins were strong at 31.5%, inclusive of ongoing investments in managed payment and the incremental investments and expenses related to COVID-19. We generated $702 million of operating cash and $604 million of free cash flow. In addition, we closed on the sale of StubHub for $4.1 billion in cash, subject to working capital adjustments and net proceeds of $3.2 billion. In Q1, we returned $4.1 billion to shareholders through share repurchases and cash dividends. Moving to active buyers on Slide 6, we have 174 million buyers representing 2% year-on-year growth, flat with Q4. Coming into Q1, we expected and saw modest buyer growth deceleration driven in part by our planned reduction of marketing spend on buyers with lower engagement and higher churn. This was completely offset by buyer acceleration in March as more buyers came to eBay for their shopping needs as stay-at-home mandates were put in place around the world. Moving to Slide 7, in Q1, we enabled $21.3 billion of Marketplace GMV, flat year-on-year and accelerating 4 points versus the prior quarter. We estimate that COVID-19 drove approximately 2 points of volume acceleration for the quarter, mostly in the second half of March. In the U.S., we generated $7.6 billion, down 4% year-on-year and accelerating five points from Q4. The year-on-year growth figure includes a 6 point headwind from the continued impact of the Internet sales tax across the U.S., in line with our expectations and approximately the same as Q4. Please refer to the appendix to see the impact of Internet sales tax over time. The 5 point acceleration versus Q4 is driven by approximately 2 points of upside from COVID-19, approximately 2 points from increased marketing efficiency and product experience improvements, and 1 point from the impact of leap year. International GMV was up 3%, accelerating 4 points versus Q4, driven by the same factors I mentioned for the U.S. Moving to revenue on Slide 8, for the company, we generated net revenues of $2.4 billion, up 2% organically, accelerating 1 point from Q4. We delivered $1.9 billion of transaction revenue, up 3% and $474 million of marketing services and other revenue, down 8%, inclusive of a 6 point headwind from the sale of brands4friends. The net impact of COVID-19 in the quarter was minimal overall with Marketplace volume driven upside offset by Classifieds downside. Turning to Slide 9, our Marketplace revenue was $2.1 billion, up 1%, accelerating 2 points from the prior quarter. Transaction revenue grew 3%, a 2 point acceleration versus Q4 driven by GMV and Promoted Listings, partly offset by increased credit reserves related to COVID-19. Marketing services and other revenue was down 15%, accelerating two points versus the fourth quarter. The year-on-year decline is driven by 12 points from the sale of brands4friends in addition to COVID-19 pressure on third-party ads, partially offset by six points of growth in our Korea first-party business, which grew over 60% year-on-year. Marketplace segment margin was 36%, flat year-on-year as the benefit of reduced marketing, the sale of brands4friends, and continued cost discipline were offset by our investment in managed payments and the impact of COVID-19 related impacts I mentioned earlier. Moving to Slide 10. In Q1, Classifieds revenue was flat year-on-year decelerating six points versus Q4 driven by continued headwinds in horizontal display advertising across markets in addition to COVID-19 related pressure. Segment margin for Classifieds was 33%, down three points year-on-year, driven primarily by increased reserves related to COVID-19 as we extended payment terms across markets and continued investment in verticals, which pressured margin in a period of lower revenue growth. Turning to Slide 11 and major cost drivers. In Q1, we delivered non-GAAP operating margin of 31.5%. This is roughly flat year-on-year as reduced operating expenses, operating cost, and the impact of divesting brands4friends were offset by increased reserves related to COVID-19, our investment in managed payments, and the impact of a stronger U.S. dollar. Cost of revenue is down 20 basis points year-on-year as a percentage of revenue driven by the divestiture of brands4friends, partially offset by scaling managed payments and are expanding first-party inventory program in Korea. Sales and marketing expense was down over 1 point versus the prior year primarily driven by reductions in marketing and promotional spend in our U.S. business, partially offset by increasing year-over-year investments in our international Marketplace business including off-platform, which is comprised of our higher growth businesses in Korea, Japan, and Turkey. Product development costs were up 10 basis points from investments in managed payments and Classifieds to expand our Motors vertical offerings. G&A was down 20 basis points driven by operational efficiency, partially offset by our continued investment in managed payments. We've added a view on transaction losses given the significant investments made in Q1. Transaction losses have grown approximately 150 basis points due to deferred fees and seller protection increases driven by COVID-19 that impact our bad debt and eBay Money Back Guarantee reserves. Turning to EPS on Slide 12. In Q1, we delivered $0.77 of non-GAAP EPS, up 19% versus the prior year, our ninth consecutive quarter of double-digit non-GAAP EPS expansion. Non-GAAP EPS growth was driven primarily by our share repurchase program, revenue growth, and our improved cost structure partially offset by our investment in managed payments and the impact of a stronger U.S. dollar. GAAP EPS for the quarter was $0.64, up 12% versus last year. The increase in GAAP EPS is mostly driven by our share repurchase program, partially offset by lapping a higher gain associated with the Adyen warrant. As always, you can find the detailed reconciliation of GAAP to non-GAAP financial measures in our press release and earnings presentation. Moving to Slide 13. In Q1, we generated $604 million of free cash flow, up 54% driven by higher earnings and the timing of capital expenditures and working capital. Moving to Slide 14, we ended the quarter with $5.2 billion in cash and investments inclusive of the $4.1 billion we received for the sale of StubHub business and debt of $8.7 billion. For the quarter, we distributed $4 billion in the form of share buybacks and repurchased nearly 98 million shares, inclusive of an accelerated share repurchase plan that will be completed later this year. We have approximately $0.5 billion in share buyback remaining to hit the $4.5 billion we guided to in February. At this time, our expectation is that we will execute on that share buyback before the end of the year, but that will depend on market dynamics in the second half. We ended the quarter with $3.2 billion of share repurchase authorization remaining and we paid $114 million in dividends. We also took two steps to further improve our liquidity position. We acquired $1 billion of debt at favorable rates that we intend to use to repay our 2020 maturities that come due in June and October. We also renewed our $2 billion credit revolver to retain financial flexibility. Turning to Slide 15, our capital allocation strategy and key tenets and targets have not changed. We remain committed to maintaining our BBB+ credit rating, mid-term leverage of approximately 1.5 times net debt and gross debt below 3 times EBITDA and a year-end cash balance of approximately $3.5 billion. We also remain committed to our dividend. Turning to Slide 16 and Q2 guidance. For the second quarter, we are projecting revenue between $2.38 billion and $2.48 billion, growing 2% to 6% on an organic FX-neutral basis. At the midpoint of our guidance, we expect Marketplace revenue and volume to grow in the high-single digits year-on-year. In Classifieds, we expect significant revenue pressure contracting between 30% and 40% year-on-year, which equates to approximately 5 points of pressure at the total company level driven by temporarily waiving fees, mostly in April, and lower advertising revenue. For Marketplace, this assumes that double-digit growth in April trends back to pre-COVID-19 levels by the end of the quarter. If volume strength continues at a higher pace than this assumption, we expect to be at the high-end or above this range. For Classifieds, this assumes the automotive subscription revenue largely recovers in May with dealers re-opening across our markets. It also assumes a modest level of recovery in advertising. While it's difficult to predict how long these market dynamics will continue, as Scott mentioned, we feel great about the long-term prospects for this business. We expect non-GAAP EPS of $0.73 to $0.80 per share, representing 10% to 21% growth. EPS growth is driven primarily by the combined benefit of the lower share count, Marketplace volume, and cost control, partially offset by lower Classifieds revenue and investments in managed payments. In addition, approximately 9 points of headwind come from a stronger U.S. dollar, a higher non-GAAP tax rate, and less interest income based on lower cash balances. We are expecting GAAP EPS in the range of $0.50 per share to $0.57 per share in Q2. Turning to Slide 17, given this dynamic environment, we are not revising our full-year revenue, margin, and EPS estimates, but we wanted to provide you with a little bit more context on how we are thinking about the rest of the year. First, excluding the impact of COVID-19, our underlying Marketplace business is performing in line to slightly better than our expectation across several measures. Yet, we are managing through a dynamic environment with uncertainty on potential disruptions that could impact consumer buying behavior. This creates a wide range of potential outcomes for the year. The dynamics that could pressure the low-end of our guidance range would include Marketplace volume regressing to levels below what we're experiencing in early Q1 driven by consumer spending weakness and/or further macroeconomic dislocation. If Classifieds revenue showed improvement but we face continued disruption in the automotive verticals and/or slower prolonged recovery in advertising. The dynamics that would put us toward the higher-end or above our full-year range would include; marketplace volumes stronger than our original second half plan driven by more permanent offline to online shopping shift and our ability to effectively retain the new buyers and sellers; and if Classifieds revenue improves more quickly returning to growth in the second half, but below pre-COVID-19 levels. We expect that margin rates could have increased variability in the coming quarters, given some of the revenue and macroeconomic dynamics, but our cost discipline remains strong and we're committed to our long-term margin structure previously communicated of 2 points of expansion by 2022. It's also a volatile time for currency and given the global nature of our business, significant movements can have a material impact on our results. If current rates hold, we would have revenue pressure of approximately $100 million and $0.04 of EPS compared to our February guide. We now expect free cash flow of $2.1 billion to $2.3 billion. This increase of $1 billion versus our February guidance is based solely on the expectation that the cash tax payments related to the sale of StubHub will be recorded in discontinued operations. We have a strong balance sheet, our liquidity is in great shape and our business models continues to generate strong free cash flow in any of the above scenarios. In closing, these are challenging times for everyone. We remain focused on our employees, communities, and customers while continuing to deliver for our investors. Our key growth initiatives of managed payments and advertising are on track. We continue to fight through the lingering impacts of lower marketing spend and Internet sales tax and we'll exit the year stronger than we entered on these fronts. Above all, we will continue to focus on the safety of our stakeholders and on returning the Marketplace business to sustainable long-term growth by providing a trusted platform for buyers and sellers to transact around the world. And now, Scott and I would be happy to answer your questions, operator?
Operator: [Operator Instructions] And your first question is from Stephen Ju with Credit Suisse. Please go ahead.
Stephen Ju: Okay, thanks guys. So I guess a question on payments and I guess a question on the buyers. We're only a few months away from the end of the agreement with PayPal. So just wanted to check in with you guys on how your comfort levels with your own payment rails has evolved as you test in more regions and I guess as a byproduct, your willingness to either speed up or slow down the transition and I guess on the buyer side, the fear here is that as the world goes back to some normalcy, the people who came back to engage and buy more from eBay will just simply go away. So what do you think you can do to hold on to this increased level of activity? Thanks.
Scott Schenkel: So, Stephen, on payments, look, I think our comfort level remains very strong. The team is executing well. We have two markets up and running, three now announced as we just went through. We're pre-onboarding customers on to rails that have been working. We continue to get great feedback from sellers and continue to expand and so our focus is going fast and letting our sellers really get the benefit of a simpler experience that's less expensive and a better experience integrated into their selling account and the buyers having more options and so we feel good about it. On the buyers back to normal, Andy, you want to take that one?
Andy Cring: Yeah, look, Stephen, I think the way we think about it is we've been working for a long time to improve the buyer experience across the site and we have an opportunity here with some pretty healthy buyer growth at the end of the first quarter and the beginning of the second quarter to further leverage that. We're going to continue to invest in these buyers to ensure that they are finding and realizing the value and selection that we offer and continuing to drive engagement with these customers is critical. It's super early in the process. New buyers typically will engage a little less frequency and buy a little less than retained buyers and we're seeing similar behaviors, but one of our key focus is in the coming weeks and months is going to be how do we work to drive increased engagement with the buyer growth that we've had recently.
Operator: Your next question is from Ross Sandler with Barclays. Please go ahead.
Ross Sandler: Hey guys, just a follow-up on the sustainability of the GMV. So I think you said up 20% every week in April and it seems like advertising rates around the Internet are coming down, do you view this as an opportunity where you could potentially lean in on SEM or on other forms of kind of customer acquisition to not only try to hang on to the new buyers that you've got but drive more new buyers even after the quarantine's end. Any color there? And then the second question is just an update on the portfolio review. Any update on ECG given what's going on in the world and what's going on in terms of the deceleration in that business. Any new plan around the sale process and then has your thinking around Korea -- that business and the strength that you're seeing in Korea change at all. Any thoughts on where that one stands as far as the strategic review process? Thank you.
Scott Schenkel: Yeah, maybe a few points and then Andy jump in. So the sustainability of 20% I think what we're calling out in our guide is that we expect it to trend back down, although it's obviously very hard to tell. The benefit that we've seen is first is as I called out and then Andy emphasized, we've had a really good out of the gate kind of what we term confinement categories and broadly speaking, those categories would cover roughly 25% of the site and that started to accelerate and then what you saw is as that settled down and as that matured, you started to see buyers buying in all of the other categories. And so, what you see now is a broad-based expansion of the growth in other categories on eBay without really any being left behind per se and so from that perspective, it feels good. I think to the spirit of your question, we will continue to be spending. The nice part is these new buyers fit right into our strategy of going after the buyers we brought in the last 12 to 24 months. We're trying to activate them and so they'll go right into those cohorts and really we'll be working on things like getting them to sign up for the mobile app if they didn't come through the mobile app, getting them to fully register as a user, if they were only a guest, continuing to hammer them with emails and other value that's available on the site. So tons of opportunities there. I don't know, Andy, do you want to weigh in on the ad rate or anything else I left out on that?
Andy Cring: Well, I'll maybe double click a little bit on the GMV comment and the sustainability of it. Just you know clearly in the guide for the quarter and the year, we're not counting on those rates of growth continuing. We haven't seen anything through April to suggest that they don't. So to the extent that they would continue at or not trend down as quickly, we'd see some upside, but to Scott's point looking to engage and take advantage of the incremental buyers we have and leverage them through the process.
Scott Schenkel: Yeah, and then hey Ross, to get back to the other parts of your 14 point question here, let me try on Classifieds, the Classifieds, look, I think, certainly we have got the pressure from ads. I don't anticipate once dealerships come back, that we'll have ongoing pressure from that. And so the dynamic as we look towards the second half of the year and certainly for the longer-term, we don't feel it impacts the valuation of the company and thus accordingly, we're not really looking at the portfolio, discussions that aren't going any differently than we were three to six months ago and so we are in active conversations with multiple parties as I called out and we'll give you an update by the Q2 earnings call. And then Korea, sorry, Korea -- look, Korea is a great platform and we elaborated a bit more at least in my script on a bit more of the dynamics around what we're seeing there and you know, good double-digit revenue growth in that business this quarter, a little bit of highlight of the contribution operating income dynamics that we get out of that business versus some of the others and I think as we've demonstrated along the way and the Board has demonstrated, we'll continue to be clinical about how we approach all of our portfolio around eBay. Right now we're focused on Classifieds and making sure we maximize value for shareholders in that transaction. Did I get them all there?
Ross Sandler: Yeah, I'll get back in the queue with a few more. Thanks guys.
Operator: And your next question is from Eric Sheridan with UBS. Please go ahead.
Eric Sheridan: Thanks so much for taking the question. Maybe two if I can. With the buyer growth being the same that we saw in Q4, is there any way you could sort of tease out what might have been sort of a tale of two parts of the quarter in terms of active buyer growth because I think anecdotally most people would assume that as people were re-engaging with the platform and you saw a type of better post-COVID behavior on the platform by buyers and sellers that, that number probably would have been a little bit better. So I didn't know if we could drill down a little bit on that number and maybe some of the rate of change you saw on it as the quarter progressed and maybe even out into Q1. That would be number one. Number two, coming into this year, there was a lot of talk about the headwinds that were going to be created by the Internet sales tax initiatives. We're not talking about that now, so is that either remaining a headwind, but one that you're outrunning because of the demand environment changes that have persisted or is that sort of the headwind that still persists to the same degree you thought before, but you're either outrunning it or it doesn't matter to buyers to the same degree that it did before. Just curious what the dynamic around IST might be. Thank you.
Andy Cring: Yeah. Hey, Eric. It's Andy, I'll take both of those. Like I think both -- Scott and I both said in our script, the beginning part of this quarter was performing as we expected on almost all fronts and buyers are no different. As we said, you know, most of last year, we've been shifting marketing expense away trying to drive an increased CLV with buyers and we expected to see some deceleration in the first quarter and we were seeing it and we've seen healthy buyer growth the last couple of weeks of March. So absent the lift in COVID, I think that you'd probably be looking at slightly lower buyer growth, but keep in mind that's a trailing 12-month measure and it's really hard to move that in a period of two weeks. So, as -- we'll I'm sure disclose much more as we get through the second quarter on the growth rates, but you can assume with 20% GMV growth that we've had some pretty healthy buyer growth as well. The second question on IST, look, I think part of the reason we're talking less about it is its just relative to everything else going on, it's a smaller issue. Fundamentally, nothing's changed other than it's performing basically exactly as we thought it would. When we entered the year, we had I think two states we lapped on January 1st. The thesis at the time in what we're seeing in early January was that we would lap out of the headwind as states reached the 12-month mark. We had a few weeks of data at the time and we said that that's what we saw. We now have four states that have lapped out and we're seeing consistent data across all those states. So we remain confident that we'll see lift half over half driven by IST as that headwind dissipates, but the reality is we had in the U.S., 6 points of headwind in the fourth quarter. We thought first quarter would be roughly 6 points, we think it was still roughly 6 points in the first quarter. So kind of to our expectations on that front.
Eric Sheridan: Okay, great guys, thanks so much for the color and stay well, speak soon.
Operator: Your next question is from Heath Terry with Goldman Sachs. Please go ahead.
Heath Terry: Great thanks. Andy, we've talked a lot about buyers and buyer growth. I wonder if you give us a sense of kind of what you're seeing on the supply side of the equation. Obviously, it's really early in this whole environment that we're in right now, but in prior recessions, we've seen pretty big spikes in supply on the platform and that's impacted pricing. Any sense as to whether you're seeing growth in supply on the platform, the old narrative being people cleaning out their closets, cleaning out their attic as they have more time in their homes and are able to -- looking for sort of additional income. Are we seeing that -- have we entered that wave on the platform yet and if so, or if it's something that you do expect, how do you see it impacting GMV growth as you think about us getting deeper into the recession. And then just strategically, I realize it's sort of early to kind of ask this question as well as you sort of think about your time is -- how you're going to manage the company as CEO, but the company has leaned really hard on capital returns in the past. As you think about sort of how you want to manage eBay, how do you anticipate sort of investing for growth, investing in technology, investing in the things that are going to allow you to compete against everyone else that's in e-commerce versus continuing down the path of returning capital to shareholders?
Andy Cring: Okay, Heath, thanks. I'll take the first one. I think Scott will handle the second one. I'll try to give a little more color and you hinted at it at the beginning of your statement that it's super early and it's unclear how any of these things will really mature over time, but a couple of things that we did see. Early on, C2C was not really partaking in the growth that we saw relative to second half of March and we think that's related a little bit to the fact that to your people were moving around maybe less likely to go to the post office or deliver things and we've seen that recover a bit as we've gotten into April. In terms of supply, the listings on the site are healthy despite the fact that we've had the relatively quick ramp and spike in volume so that we haven't seen a reduction in listings on the site. In fact, I think they've grown a bit through April to support the volume spike that we're seeing on the B2C side. So we feel like supply is healthy. We've been onboarding as Scott mentioned and I mentioned onboarding new sellers through this process as well. So feel good about supply.
Scott Schenkel: Yeah, you know, the other thing I'd add to that Heath is what we saw in January and February in particular when China was more shut down, we saw a dynamic that we've kind of confirmed and what we saw was just the strength in the overall global ecosystem of seller and listing and inventory availability, which was even as China was restricted, we saw domestic sellers step-up with additional inventory in the different markets where we have the buy side. So obviously, we don't have a buy side of China to speak of, it's super small. So the corridor out of China as that got a bit restricted in January and February in particular, we saw the other seller step-up and really not miss a beat and so just the quality of the sellers in the global supply chain was quite profound and so we saw tons of benefit there as kind of supply shifted around. As other markets -- Western markets started to shelter-in-place, China came back online and quickly really with a lot of help from our seller team in China, helped get them back online and shipping using our speed pack capabilities, which give them the capability to get inventory into other markets very quickly and so that was terrific. So I think broadly speaking, we walked away from the last six, seven weeks or even last quarter feeling very good about the supply quality. And to your question on C2C, I think it's a bit early to really see any substantial strength from C2C, but I would expect that as we go forward and certainly what people have already started to see in our international markets in particular is additional messaging to C2C sellers to re-engage with the platform if they haven't been around recently. So that'll be -- you'll see that in most major markets. On the question for -- I think that's Jamie, just in the interest of time, we'll park that and we'll let Jamie come back to that when we get to July.
Joe Billante: Operator, I think we've got time for one more question.
Operator: And your next question comes from the line of Justin Post with Bank of America. Please go ahead.
Justin Post: Great, thank you. I'll make it quick. You've got some pretty good success with your sponsored listings product. I think your target was $1 billion in total marketing. Any change in your thinking there. Do you think it could be higher than say 1% to 1.5% of GMV and any signs that make you think the opportunity could be bigger over time? Thank you.
Scott Schenkel: Well, a couple of things that I think we saw in Q1 that we feel great about. First off, while we raised the level of what was required for sellers to participate in Promoted Listings, we saw better quality listings go into search results and other placements that had better conversion and I think you've heard me talk about a number of times that the trick here to get to $1 billion and then north of there is making sure that this is accretive to the user experience and not a distraction, not sending people elsewhere and I think we walk away from Q1 feeling great about that. We'll work on the $1 billion first and then we'll update you after that, but look, I think the team has done an excellent job and what you're going to see us continue to do is iterate on placements, pricing, all sorts of things to just make this accretive to the user experience and I don't think the team sees any limits to this and they're really focused on it that way. Thanks.
Justin Post: Thank you.
Joe Billante: Operator, I think that's all the time we've got for questions today.
Operator: Thank you.
Joe Billante: Thanks everyone.
Operator: Thank you again for joining us today. This does conclude today's conference call. You may now disconnect.